Operator: Good morning. Welcome to Exchange Income Corporation’s Conference Call to discuss the Final Results for the 3 and 6 months period ended June 30, 2021. The corporation’s results, including the MD&A and financial statements, were issued on August 12, 2021 and are currently available via the company’s website or SEDAR. Before turning the call over to management, listeners are cautioned that today’s presentation and the responses to questions may contain forward-looking statements within the meaning of the Safe Harbor provisions of Canadian provincial securities laws. Forward-looking statements involve risks and uncertainties and undue reliance should not be placed on such statements. Certain material factors or assumptions are applied in making forward-looking statements and actual results may differ materially from those expressed or implied in such statements. For additional information about factors that may cause actual results to differ materially from expectations and about material factors or assumptions applied in making forward-looking statements, please consult the MD&A for this quarter, the Risk Factors section of the Annual Information Form and Exchange’s other filings with the Canadian securities regulators. Except as required by Canadian securities law, Exchange does not undertake to update any forward-looking statements. Such statements speak only as of the date made. Listeners are also reminded that today’s call is being recorded and broadcast live via the Internet for the benefit of individuals, shareholders, analysts and other interested parties. I now would like to turn the call over to the CEO of Exchange Income Corporation, Mike Pyle. Please go ahead, sir.
Mike Pyle: Thank you, operator. Good morning, everyone and thank you for joining us today on EIC’s second quarter results call. With me today are EIC’s President, Carmele Peter, who will provide some operational insights from the quarter and review in additional detail the outlook for EIC, and our CFO, Darryl Bergman, who will provide a more detailed breakdown of EIC’s second quarter financial results. I am pleased to be here today, not only to report on another strong quarter for EIC, but also to confirm that we are seeing optimistic signs across our business of a transition to a positive post-pandemic economy and a return to relative normalcy in our operations. We acknowledge that we have likely not heard the last of the COVID-19 pandemic and there maybe new challenges in the future. EIC’s exceptional performance through the pandemic has been defined by the remarkable efforts of our internal management teams who have consistently found ways to safely deliver essential services for our customers, while positioning us for the post-pandemic recovery. Our ability to draw on the diversity of our enterprise to maintain steady cash flow honoring our dividend obligation to our investors, while strengthening our balance sheet and our unwavering focus on building a long-term future of our company through accretive acquisition and organic growth. You will hear these three themes reflected throughout my remarks this morning. The second quarter, as this was the first time the comparative quarter was also fully impacted by the pandemic offers an opportunity to reflect on how EIC has navigated COVID’s challenges without compromising our foundations. Our results in that context are outstanding. In the quarter, the company grew by 32% and – grew revenue by 32% to $322 million and increased EBITDA by 31% to $81 million. We increased net earnings per share by 450% to $0.44, improved our adjusted net earnings per share by 231% to $0.53 per share. We drove free cash flow less maintenance capital expenditures of 44% to $37 million, and on a per share basis, this was up 34% to $0.98. And perhaps most important and most tellingly, we improved the trailing 12 free cash flow less maintenance capital expenditures payout ratio to 58% from 76%. These impressive financial results were achieved even while EIC received considerably less pandemic-related financial assistance from governments, a decline of more than $14 million from the comparative period. Absent all government support in both periods, the company’s EBITDA increased by an impressive 110% in the second quarter year-over-year. Even though our operations remained impacted by the pandemic, our financial performance tracks closely against our Q2 2019 results, our last pre-pandemic second quarter. Both revenue and EBITDA closed within 10% of 2019 levels, while our free cash flow less maintenance capital expenditure is actually higher than 2019. And our payout ratio of 58% is the best we have achieved since the full year of 2019 clearly demonstrated the ongoing sustainability of our dividend. I’d like to point out that 2021 versus 2019 isn’t necessarily a clear apples-to-apples comparison for EIC. The company has completed three modest acquisitions in the intervening time and integrated those operations into our corporate family, despite COVID’s challenges. That said, the similarities of our current financial performance and our pre-COVID financial performance indicates that EIC has to an extent already recovered towards pre-pandemic levels by successfully adopting our operations to COVID’s reality. Our strong footprint – our strong footing – sorry has the company well positioned to exceed pre-pandemic financial performance in the near future. Although we clearly realize that additional pandemic challenges are possible and perhaps even likely. Our scheduled airline services are a great example of that positioning. EIC carriers were able to preserve our networks and continue serving our destinations over the course of the pandemic, a testament to the exceptional efforts of our operators. We believe our demonstrated reliability has given us a head start on recovery, which we have seen in part through Q2. Despite pandemic challenges, our operations have been characterized by slow steady improvement in passenger numbers throughout the quarter, albeit heavily influenced by regional COVID case counts and associated travel restrictions. We are encouraged by significantly improved passenger volumes in the Atlantic region, which are trending towards pre-pandemic levels in the third quarter. Similar improvements in Central Canada and Nunavut has been restrained as overwhelmed medical system has limited access to diagnostic appointments and elective treatments, thereby suppressing travel for medical procedures. That said, vaccination rates in the communities that the carriers serve are hot and we are confident travel will quickly rebound as the medical system pivots to accommodate traditional care. There is a significant backlog of patients awaiting treatment and we expect pent-up demand to support robust demand for our protracted period as access normalizes. These patterns drive investments we are making into expanding our airline operations. Strong passenger traffic patterns and significant demand increases from our remote mining and freight customers are allowing the net additions of 4 larger gauge aircraft ATR72s and Dash-8 400s by the end of this year. EIC’s model has always supported opportunistic organic growth. These investments in our fleet are another example of the company following the stringent criteria we have always used to assess opportunities and deploying our balance sheet as appropriate to accretively expand our existing business. Regional One continues to experience increased demand for parts as larger aircraft components as major airlines have ramped up flying operations to meet consumer demand generated by a rapid recovery in the United States. By contrast, our aircraft leasing business is historically focused on international markets where recovery is lagged behind the trends in North America. Our expectation remains our return to pre-pandemic levels in future quarters as the global economy accelerates on pace of the vaccine rollout and progressive economic recovery. EIC’s ISR and medevac operations continue to provide valuable stability for the company operating consistently at or near pre-pandemic levels through the balance of the previous 18 months. This demonstrated resilience supports our decision to increase our overall position in the segment making accretive investments of over $100 million in the delivery of our Netherlands surveillance contract and in the acquisition of Carson Air, a transaction I will return to later in my remarks. The company’s manufacturing segment continues to experience strong demand while navigating pandemic challenges related to deferred projects and corresponding dislocation in production schedules. These challenges are particularly acute in our Quest Window operations, although robust demand for future products – projects, I am sorry, will allow us to fully deploy in future quarters, the investments we have made in new production and installation capacity. The operational ups and downs of the pandemic – through the operational ups and downs of the pandemic, we have maintained an unwavering focus on our balance sheet. One of EIC’s core principles since inception has been the maintenance of strong liquidity empowering the company to move quickly to capture growth and investment opportunities without compromising the financial flexibility we have retained to successfully navigate the economic uncertainty. We have always followed the practice of actively identifying investment in acquisition opportunities. To support those activities, the company is undertaking a series of transactions to ensure we maintain access to the financial resources required to execute on our business model without limiting our ability to weather economic uncertainty or withstand disruptions to our operations. The first of these transactions was the completion of a share offering in the quarter generated gross proceeds of $88 million at a price of $39.40 per share. Following the offering, EIC announced a new issue of convertible debentures on July 12, 2021 that generated gross proceeds of approximately $144 million to be used to retire existing convertible debentures series that come due over the next 2 years. This offering closed on July 30, 2021. And then on July 30, 2021, we announced the redemption of the June 2023 debentures to be repaid on September 2, 2021 deploying approximately $69 million of the proceeds of the recent offering, with the balance being temporarily deployed to reduce a senior debt facility until it has access to retire additional series in the future. Simultaneously, we have extended our $1.3 billion syndicated debt facility to August of 2025. These transactions will allow EIC the financial freedom to be active in identifying opportunities for accretive growth and completing strategic acquisitions and fortify our business in the long-term. The first of these is the acquisition of Carson Air announced on July 5 for aggregate purchase price of $61 million. The company, in addition to their established business lines in air cargo and pilot training, is British Columbia’s leading provider of medevac services. I mentioned earlier, the resilience EIC has seen in our own medevac services throughout the pandemic. Our analysis and experience tell us Carson is the ideal acquisition to grow our presence and expand our geographic coverage in that segment. Carson’s proven management team, led by Kevin Hillier has built a sterling reputation in the industry and we are thrilled to welcome him to the EIC family of companies. When added to our existing medivac providers, Carson Air acquisition fortifies EIC’s position as the premier provider of medical evacuation services in Canada. We believe strongly this business line and will continue to pursue strategic opportunities for growth organically or through additional acquisitions in this space. Beyond the Carson Air acquisition, EIC has announced the execution of 3 non-binding Letters of Intent to acquire additional companies for aggregate considerations totaling approximately $53 million. These are smaller tuck-in acquisitions capitalizing on synergies with existing operations, which we will believe to be immediately accretive. The first of these additional acquisitions closed on August 11, 2021 with the acquisition of Macfab Manufacturing for $11 million. The company is very closely aligned with our Ben Machine operations and will immediately add capacity and efficiency to both businesses. We are excited about adding Macfab to our family. The remaining two transactions are undergoing final due diligence and barring unforeseen circumstances are expected to close within the next 60 days. Cumulatively, the Carson Air acquisition, Macfab Manufacturing acquisition, and the two remaining transactions in progress represent a deployment of approximately $114 million to complete accretive acquisitions in 2021. Despite the uncertainty in operational challenges EIC has faced through the pandemic, these are exciting times for the company. We have demonstrated operational excellence time and again preserving our operations without accepting compromise for the safety of our employees or for our customers. We preserved our cash flow, safeguarding our dividend and preserving the commitment we maintained with our shareholders in that respect for over two decades. But perhaps most importantly, we have never allowed ourselves the luxury of short-term thinking, making easy choices to manage and for immediate challenges at the expense of future growth is not an approach we have ever tolerated at EIC. Changing that philosophy during the pandemic would have undermined the growth trajectory we have now demonstrated and ability to retain despite these historically difficult times. Across the company, EIC has recorded significant operational accomplishments through COVID. And we have also added major contracts, completed accretive acquisitions and strengthened our balance sheet to support yet more growth going forward, giving us lots to be excited about in the company’s future. I want to thank our Board, our management team, our employees, shareholders, and in fact, all stakeholders for believing in our vision and I am looking forward to seeing what the company – coming months will bring. I will now turn to Darryl to outline EIC’s financial performance in greater detail.
Darryl Bergman: Thank you, Mike and good morning everyone. As Mike noted in his remarks, EIC has continued to deliver solid financial performance through the second quarter of 2021, while progressively managing the ongoing challenges and unpredictability associated with the COVID-19 pandemic. Q2 marked the first full quarter that results from comparative periods were fully affected by the pandemic, as such offers an opportunity to reflect on the improvements EIC has achieved in insulating our operations against pandemic fluctuations and delivering financial results comparable to pre-pandemic periods. But before turning to operational results, I would like to review the series of transactions Mike outlined earlier that EIC undertook in the quarter to fortify our balance sheet and support the deployment of capital to fund accretive acquisitions and investments. EIC has been active over the last several months using favorable markets to our benefit in setting financial cornerstones that will support our long-term success. To begin, within the quarter, as mentioned, EIC completed an $88 million equity offering at a per share price of $39.40. Subsequent to quarter end, EIC closed its convertible – its largest convertible debenture offering in company’s history $144 million at 7 years, 5.25% and lastly on August 6, wrapped up an extension of the corporate credit agreement out to August 2025. I would add that both of these subsequent transactions were completed with applicable financing costs remaining constant. We have also called the debentures due in 2023. And when the debentures due in 2022 are redeemed, we will have no debt due until 2025. EIC is extremely appreciative of the continued strong support from both our banking syndicate and capital markets, which is evidenced with overallotments on both the equity and debenture transactions being exercised, along with a very seamless turnaround on completing the extension of our credit facility. With the near-term plan insight to have no maturing debt until 2025, increased liquidity and a 12-month trailing free cash flow less maintenance CapEx payout ratio of 58%, EIC has established a foundation that provides us the necessary flexibility persevere through potential challenges whether it be a pandemic resurgence, recession conditions, hyperinflation or other adverse conditions. Simultaneously, we have created additional financial flexibility capable of supporting growth through additional acquisitions and reinvestment in our subsidiaries. Turning now specifically to EIC’s results for Q2 2021, EIC has continued to emphasize and – continually emphasized a strong focus on our balance sheet with modest leverage and good liquidity. Our efforts in Q2 2021 support our commitment to this principle. The size of the corporation’s credit facility as at June 30 remained unchanged at approximately $1.3 billion with the ability to access another $300 million in an accordion feature should we choose to exercise it giving the company, the corporation combined access up to $1.6 billion. As previously noted, subsequent to quarter end, we completed the extension of the current credit facility of 4 years to August 2025. The credit agreement remains materially same with pricing and covenants unchanged. At the end of the quarter, the corporation had readily available access to liquidity in cash and under its credit facilities of $900 million, including the accordion. With no material cash burn expected, the corporation’s liquidity position continues to be very strong and stands to set to support the growth needs of the corporation. EIC’s long-term debt net of cash of roughly $686 million is a decrease of approximately $40.5 million since December 31, 2020. The corporation used the net proceeds from its bought deal equity offering to repay its credit facility partially offset by using cash on hand to fund growth capital expenditures. Strengthening of the Canadian dollar since December 31, 2020 also contributed to the decrease in long-term debt. The corporation targets leverage to be within a 1.5x to 2.5x senior debt to EBITDA range. Q2 2021 leverage is near the top end of this target range caused by the reduction in EBITDA runoff from the impact of COVID-19. Our current leverage ratio for the quarter – for quarter end is 2.41x, which is well below both the current credit facility covenant requirements of 5x, and notably, the 4x requirement which will come back into effect for year end. Further on our balance sheet, we ended the period with working capital of $293 million, which represents a current ratio of 1.86x. This compares to working capital of $324 million and a current ratio of 2.10x at the end of 2020. As I turn to revenue and EBITDA, I will focus on highlighting key quarter-over-quarter changes. A detailed analysis of both can be found in the quarter’s MD&A release on August 12. In Q2 2021, EIC generated revenue of $322 million, which is an increase of $78 million or 32% from Q2 last year. Aerospace and aviation segment revenue increased by $58 million, while manufacturing segment revenues increased by $20 million. Aerospace and aviation segment revenue was up 41% to $198 million. The comparative increase was driven largely by a comparison to a prior year that experienced significant decrease in passenger volumes and current period strength in passenger and charter revenues and continued strength in our medevac and cargo operations. The corporation’s rotary wing operations also delivered strong results in the quarter driven by fire-related services and demand for our ISR assets remains strong and continued as well to increase in revenues. Revenues at Regional One were up quarter-over-quarter, with an increase driven almost entirely by an increase in sales and service revenues. An accelerated return of travel in the United States has been positive driving the increased sales and service revenue. Now, turning to our manufacturing segment, revenue grew by $20 million over the prior period. The total revenue for the segment was $124 million. The segment continues to experience robust demand slightly offset by reduced efficiencies as operations continue to incorporate essential COVID-19 health and safety measures. The acquisition of WIS in  Q3 2020 also contributes to the period-over-period increase in revenues with no comparative in the second quarter of 2020. Moving to EBITDA, consolidated EBITDA was $81 million, up 31% or $19 million compared to the prior period. The increase was largely attributable to the aerospace and aviation segment partly offset by a decrease in manufacturing, thanks to manufacturing segment and slightly higher head office costs. The consolidated increase was achieved despite overall government funding in the second quarter of 2021 decreasing by $14 million compared to the prior period, when the government subsidies are excluded from the calculation for both periods, EBITDA increased by 110%. EBITDA in the aerospace and aviation segment in Q2 2021 was $69 million, an increase of $22 million compared to the prior period. The drivers within the segment leading to increased EBITDA are largely the same as what drove revenue. The realization of cost reduction initiatives undertaken throughout the pandemic that took time to be fully realized including scheduled frequency reductions, workforce rationalization and various other strategies were more meaningful in the quarter and also contributed to the quarter-over-quarter increase. In the manufacturing segment, EBITDA was $20 million, a decrease of $2 million compared to the prior period. The decrease in the EBITDA compared with the prior period is attributable to the decrease in the CEWS received by the segment in 2021. EBITDA at Quest was higher than the prior period reflecting the acquisition of WIS in the third quarter of 2020, with no comparative in the prior period. And it is important to note that EIC’s window installation businesses in the United States have continued to perform above our expectations since acquisition. Turning to earnings and free cash flow, Q2 2021 once again demonstrated EIC’s ability to achieve positive earnings and positive cash flow over a period defined by economic uncertainty. Net earnings for the quarter were $17 million and adjusted net earnings were $20 million, both representing an increase of $14 million over the prior period. The increase in EBITDA in the quarter, along with reductions in interest cost, contributed to the increase. An increase in depreciation on capital assets during the current period slightly offset improvements. Mike had mentioned – Mike had previously noted our improvements in net earnings, adjusted net earnings and free cash flow per share. That said, it should be recognized that the period – in the period the weighted average number of shares increased by 7%, which partially offset any increase on these per share results. In Q2 2021, free cash flow increased by 36% over the comparative period to $57 million or $1.54 per share. These results are driven by increased EBITDA and partially offset by the higher current tax expense. Free cash flow, less maintenance capital expenditures payout ratio, on a 12-month trailing basis remains a strong indicator of the corporation’s ability to actively manage cash flows despite unpredictability in economic conditions. The 12-month free cash flow, less maintenance capital expenditures, payout ratio improved to 58% at June 30, 2021 from 76% in the comparative period. This was achieved through the diligent management of cash flow in general and capital expenditures, specifically during the pandemic. The resulting 12-month trailing free cash flow less maintenance capital expenditure payout ratio in the quarter is a significant achievement as it continues to trend back to pre-pandemic range and is only slightly higher than the comparative payout ratio at December 31, 2019 of 57%. EIC’s ability to return the payout ratio on a free cash flow, less maintenance capital expenditures basis, back to pre-pandemic levels in the quarter is solid evidence, the success we have achieved in managing the challenges of the pandemic. We have diligently maintained our focus on cash flow and we are continuing to fortify an already strong foundation for EIC that supports the future growth of the corporation through accretive acquisitions and internal investments. That concludes my review of our financial results. I will now turn the call over to Carmele to share some thoughts on EIC’s outlook for the coming months.
Carmele Peter: Thank you, Darryl. The bulk of my comments today will address the near-term outlook for EIC across our various lines of businesses, but I will then share some longer term observations about EIC. While we are of course encouraged by increased vaccination rates, easing restrictions and gradual return to normalized operations, COVID-19 is not done with us yet and will continue to impact our businesses in the short-term. Passenger volumes as we move out of Q2 and into Q3 continue to demonstrate positive momentum although the speed of recovery is closely tied to geography. In the Maritimes, we were trending towards a return to pre-pandemic travel levels in the third quarter, while traffic in Nunavut and Central Canada enters Q3 with passenger levels on average about 50% of 2019 levels and although increasing is anticipated to take another couple of orders to return to historical volumes. This lower trajectory is a result of significant reduced access to medical diagnostics and other treatments due to COVID-19. However, as Mike indicated there is significant pent-up demand and as such, we are expecting to see significant sustained demand as access to treatment normalizes. EIC’s charter aviation services continue to perform well in Q3, supported by significant demand in the resource sector and by the renewal of our contracts with indigenous services Canada to facilitate the national movement of their nursing workforce to fly in First Nation communities. Similarly, cargo volumes have remained strong moving into Q3 and are trending to exceed historical levels for the period. We expect cargo demand rationalize over time as passenger volumes trend towards pre-COVID levels. EIC’s medevac operations are continuing their solid performance moving into Q3. We expect the segment non-bolstered by the acquisition of Carson Air to continue to generate strong returns through the balance of the year. The company’s aerospace operations have always remained a source of tremendous stability for EIC for the year current programs continue to perform well and demand for contracted ISR hours is picking up with increased optimism that we are moving towards the end of the pandemic. For instance, PAL Aerospace’s force multiplier on-demand ISR aircraft will be fully utilized in Q3. Regional One continues to meet strong demand in Q3 for parts particularly for U.S. carriers redeploying regional aircraft to meet post-pandemic demand for travel is now seeing increased interest in aircraft and engine sales. As Mike indicated earlier, Regional One’s aircraft leasing business has focused primarily in markets outside North America, where recovery has been slower. We are not expecting return to historical leasing levels for several quarters. In EIC’s manufacturing segment, we continue to see and experienced consistent robust demand, which will be further bolstered with the acquisition of Macfab. And while employee absenteeism and efficiencies in the segment have improved with increased vaccination rates, the impact of COVID-19 on supply change is increasing as is the challenges with labor shortages. This segment is proactively managing these challenges. As previously discussed, production gaps and reduced revenue at our Quest operations will persist for the balance of 2021 and into the first half of 2022 as a result of the pandemic-related project deferral. Long-term demand remains healthy and Quest is seeing sales inquiries gradually return to pre-pandemic levels. Turning down to maintenance capital expenditures, as flight errors increase as a result of returning demand for travel, a concurrent increase in maintenance capital expenditures will follow in the second half of 2021. This does not reflect the change in structure of our maintenance capital investment strategy and we fully expect the long-term expenditure trends to be consistent with 2019 levels and timing adjusted for fleet expansion we have undertaken since that time. As for growth capital expenditures, our focus for the remainder of 2021 will be on the investment in the two surveillance aircraft required under the Netherlands contract, the construction of a new hangar required to meet obligations under our Fixed Wing Search and Rescue contract, the addition of the net 4 larger gauge aircraft referenced by Mike to service demand seen in our mining and freight customers, and the conversion of additional opportunistic purchasing opportunities uncovered by Regional One. Regional One has executed on several asset acquisitions for the first half of 2021. We expect the pace of acquisitions to accelerate as the pipeline continues to provide sourcing opportunities at attractive prices. With the full understanding, the pandemic is not yet over evidenced by the emergence of variants of concern, reintroduction of precautionary protections in certain jurisdictions and the uneven pace of global vaccine distributions we are seeing in our business and through the behavior of our customers, a sense that we were nearing the end of the pandemic. With that shift to post-pandemic operations in mind, I want to talk more globally about EIC’s vision and its implications for the future of the company. We have never believed that EIC’s success should be measured by what is achieved in any one quarter, but rather by what we have consistently demonstrated to be our ability to accomplish over time. Positive results over time are the hallmark of EIC’s corporate legacy. For the pre-pandemic 5, 10 and 15 years since our inception, EIC has generated annualized full return of 20%. So, while the pandemic has certainly impacted our returns, we haven’t wavered in practicing the corporate values that have driven our success to this point. We don’t focus on immediate results to the detriment of our future. We manage today and we invest in tomorrow. We are agnostic to how we invest in tomorrow. It could be through acquisitions, organic growth or a combination. We are driven by the opportunities and don’t choose between whether to invest in this asset or this company as we deploy capital not allocated. The evaluation is whether the opportunity meets a rigorous investment criteria. Once you have identified an investment that meets our criteria, our strong balance sheet affords us the ability to quickly move and convert for the benefit of EIC and our shareholders. Knowing that our approach works has given us confidence to complete three accretive acquisitions during the pandemic with Carson and Macfab, proactively increase your liquidity and fortify your balance sheet to capitalize on additional opportunities for acquisition, make meaningful organic investments like the investment to support the Netherlands contract or a move into larger gauge aircraft to meet passenger and charter demand, and then over $30 million on a net basis in building Regional One’s capital assets and forge new relationships with De Havilland Canada to develop and support a Dash-8 P-4 Special Mission Aircraft and was waiting to support the Twin Otter Fire Attack System. By effectively managing our operations to the pandemic for the long-term, following our principles for the strategic investment and executing on opportunities that meet our criteria, we believe our collective efforts have positioned EIC to continue accomplishing great things for the future. We are excited to see what the next several quarters bring. Thank you for your time this morning. And we would now like to open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question will be by Steve Hansen at Raymond James. Please go ahead. I believe he may have his line on hold. Next question will be from Chris Murray at AltaCorp. Please go ahead.
Chris Murray: Yes, thanks folks. Good morning. Just maybe turning back to your thoughts around the aviation business and maybe trying to get understand how Carson fits into this in terms of the financial performance. So I think going into the second half, there is a few kind of things going on here. I am wondering if you can kind of talk about some of the new contract wins and how that might be impacting, how we should think about the aviation performance in the second half? Also kind of curious about how Carson maybe even like what’s the contribution look like and seasonality there and as well any thoughts around the rental business at Regional One would be helpful as well?
Mike Pyle: Okay. Starting with your questions about Carson, Carson entered our company right at the start of the quarter. So, we expect a full contribution from it beginning of the third quarter. We didn’t give specific earnings guidance from that company, but we did say that it was accretive from the beginning and we have readily talked about the fact that we have a 15% return threshold on an un-levered basis given that the company is expected to exceed that you can work back into the kind of contribution it will make. There is no material seasonality to the company’s business at all. It provides two things. It’s very well managed. It’s an industry leader. It gives us access to the West Coast, which we don’t have now and it helps bridge the gap. There is other opportunities, whether it be in Canada’s north, in the Yukon or the Northwest territories or [indiscernible] in Alberta or Saskatchewan. So, I think there is opportunities to grow organically or by acquisition in those territories. So, it sort of covers off Carson. In terms of Regional One, the lease portfolio is stationed largely in Europe, which is because of the recovery, but much slower than the U.S. And so we view that lease portfolio normalizing over the ensuing, I don’t know exactly three quarters something like that on a progressive basis over that period to inversely the parts business, I believe will be back at sort of traditional level by the end of the year, it’s largely a long way towards that now. And the big thing we are seeing now that we didn’t see in the second quarter is demand for full aircraft and engines. So bigger transactions, how many of those will choose to execute on will be a discussion of margins and the best use of our assets, but I anticipate that you will see a normalization of that part of Regional One business very quickly.
Carmele Peter: And we are going to, Chris, I think strong demand for leasing on the engine side as airlines ramp backup, MROs are getting full. So having ready access to engines is going to be a demand that we think will just increase as the quarters roll.
Chris Murray: Okay, fair enough. And then just any thoughts around the new contracts like the fisheries business and that impact on the second half?
Mike Pyle: The fisheries will continue like it’s we have had it since early in the year, we are operating at that level and that will continue through the balance of the year. The Netherlands contract we will deliver the planes early next year. And so you will see that starting to contribute in the spring summer of next year. Exact delivery dates aren’t really set yet. But so that we will be continuing to invest in the Netherlands contract and we will be continuing to harvest under the fisheries contract. The Northern Search and Rescue contract is delayed slightly. The government hasn’t accepted deliveries as many planes as we thought they would. It doesn’t really impact us dramatically. We are busy setting up the infrastructure required to service those contracts and it’s a 25-year commitment. So, the delay of a month or two here or there is not material.
Carmele Peter: And we are seeing in the back half some stronger demand for ISR flying, so whether that be Curacao, UAE or the DFO and demand for port multiplier aircraft as well.
Mike Pyle: I think one of the challenges, Chris, you haven’t specifically asked it, but it relates to what you are talking about, which is guidance going forward. And the challenge we are having is just trying to understand when things normalize and we see the dramatic improvement in the Maritimes, a good improvement in Manitoba and a slower improvement in Nunavut largely by different factors of each of those regions. So, it’s hard to say exactly what happens over the balance of the year, but we are pretty comfortable that we are going to continue to reach and exceed the 2020 levels and approach those 2019 levels. And that’s exciting for us, because that’s kind of a rough definition of normal. We are also pretty confident looking forward that our business is ready to generate $400 million or so of EBITDA when we get to the new normal. The hard part for us is knowing exactly what the start date of new normal is, is at January 1, is at December 1, is in March of next year. But we know we are looking at kind of $400 million run-rate with the improvements we have made and the expenses, the additions we have made, I am sorry, since 2019. It’s our intention to give more formalized guidance in November with our Q3 results. We are hoping we will have a concrete enough view of the future to give our more normal level of guidance for fiscal 2022.
Chris Murray: Okay, that’s helpful. A couple other kind of cleanup questions, just thinking about tax for a second. I know that you have got the Regional One business domiciled in Ireland and that certainly helps you with tax. Are there any issues that we should be thinking about for next year in terms of this new kind of international treaty on minimum tax rates that could impact you?
Darryl Bergman: Actually, for next year, I am not so much Chris, I think it’s actually comes into application in 2023. The global tax – the minimum global tax issues what you are referring to again, right now, what we are looking at is ascertaining how it’s going to affect your business overall not just in Ireland, but there is a lot yet to do. I think there is some hiccups in Ireland still yet that Ireland is pushing back on. So, we are actively watching it. And certainly we will be able to ascertain the impact here probably over the next quarter or two.
Chris Murray: Okay, fair enough. And then I guess my last question, Mike and I’ll let you figure out how you want to answer this one. Probably in Q4, you’ve got the opportunity to start thinking about dividends. Certainly you have got that line of sight as you talked about to pretty healthy EBITDA number. How do we think about dividend growth in the near and medium term at this point?
Mike Pyle: It’s a good question, Chris. And it’s actually one that’s relatively easy to answer, because our view of dividends has always been the same since we started this where we generate the cash flow to increase our dividends, we are going to increase our dividends. You see that strengthening our payout ratio over the last couple of quarters. And we – as we ramp up to a more normal level of operations that should further improve and that will spur the discussion internally about when is the right time to increase our dividend. I think the one thing I can tell you though is we are not going to be receiving government support and increasing dividends at the same time. So, as the government support programs wane off, it will increase our ability to look at those things, but we are not going to be doing both of those things at the same time.
Chris Murray: Alright, fair enough. Alright, guys. I will pass the line. Thank you.
Operator: Thank you. Next question will be from Matthew Lee at Canaccord. Please go ahead.
Matthew Lee: Hi, good morning all.
Mike Pyle: Good morning, Matt.
Matthew Lee: On the Carson Air acquisition, it looks like that really gives you a pretty solid Western Canadian market share of medevac but are there any opportunities to expand beyond the current footprint either organically or through acquisition?
Mike Pyle: Yes, absolutely. There are significant medevac programs anywhere where there is isolated communities. So, the Yukon, the Northwest territories, Northern Alberta, Northern Saskatchewan, and then there is some opportunities as well in the Maritime. So although we have a little bit more exposure there and the programs aren’t as big. So whether it be bidding on contracts, I think a good way to look at this is if you look at the history of Keewatin. Keewatin, where we bought the company in 2005, had half of one of the three major contracts. So, we did half of the work in [indiscernible]. Over the ensuing sort of 10 years, we got the whole contract in [indiscernible] added the contracted bath and then most recently added the contract and I am going to butcher the saying and this can tick me up in the West. So that now we hold all three contracts for the government of Nunavut. We are experts in long, high flight medevacs. The stuff we do at Manitoba is a different product. They are much shorter flights. And the government still maintains a bigger present in emerging kind of very high risk patients although we are capable of handling those. While we are flying out of places like Nunavut, those people are unstable, and they are in the air for hours. And so the medical programs that go with that are a really important part of the service you provide and our ability to grow our service for the government in Nunavut I think bears testament to our expertise in that area. Carson is a leading provider on the West Coast. Kevin and his team are held an exceptionally high regard across the industry. So for us to add a group like that and then open new beachheads across Western Canada for organic or acquisitive growth is super exciting for us. You see, during the pandemic that the medevac business has been highly resilient and reliable cash flows. And so it’s a business we like and we want to expand our exposure to.
Matthew Lee: That’s great color. Is there any regulatory reason why you can own that entire market in Canada?
Mike Pyle: No, there isn’t. I mean, the customers are very different by region, how the governments do and how they contracted out. Manitoba as an example today is a licensing system where anybody who has a medevac license can provide service to the government. They are talking about going to a contracted provider. It hasn’t happened yet, whereas Nunavut is 100% contracted provider. And so if you go jurisdiction by jurisdiction it’s slightly different, but there is no reason we could consolidate that market and quite frankly, if we don’t, I am going to be disappointed.
Carmele Peter: And we have experiences in all models, so nothing would be foreign to us.
Matthew Lee: That’s great.
Mike Pyle: That I would say places that is that we have excess capacity. So if an outbreak of some – outbreak is all bad word to use these days we have different respiratory things and other outbreaks at various places where additional capacity is required the fact that we have got tens of medevac planes around the country, we can redirect capacity to help out and it provides a sense of security to the governments knowing we are going to be able to solve their problem regardless of what happens.
Matthew Lee: Alright. Thanks, guys. Congrats again on the good quarter.
Mike Pyle: Thank you.
Operator: Thank you. And your next question will be from Cameron Doerksen at National Bank. Please go ahead.
Mike Pyle: Good morning, Cameron.
Cameron Doerksen: Yes, good morning. Just wanted to go back to Chris’ earlier question on Regional One and on the leasing part of the business, I see that you have added this more aircraft in Q2, I am wondering if you could just maybe expand on where you’ve invested there, what type of aircraft? And I am just trying to get a sense of what the upside is on the business? I understand obviously, you have got different potential uses for all those aircraft, but presumably, most of the aircraft that are in that portfolio right now are not generating any revenue or cash flows. Well I guess what I am wondering is if you can kind of sort of scale what the upside would be for that business once things recover in more of those aircraft, get back to flying and generating revenue?
Mike Pyle: I will let Carmele answer the hard part of the question, but I will take the easy part, which is when you look at the acquisitions in Regional One, it’s important to look at that holistically. As part of our whole portfolio, we are constantly buying and selling so it ebbs and flows. So, I wouldn’t look at it as a specific $30 million investment this quarter, because next quarter we may sell more than we buy, it bounces around. In terms of the leasing portfolio, they are not generating any revenue. We have moved most of them to power by the hour kind of leases as opposed to monthly fixed prices. And by doing that, the operators are paying us when they need the equipment, but not – stuck with a payment that they are challenged with. So, that will ramp over the next ensuing quarters. It won’t be like a light switch coming on, but rather gradually improving and then the lease is switched back to a more traditional format. In terms of aircraft type and that maybe I will let Carmele handle that one.
Carmele Peter: Sure. So it’s probably best to describe as more of the same. So, acquisitions were CRJ-900s, ERJ-145s, Q-400s and engines. I think in Q1, we also had some ERJ-190s. That gives you a flavor of the nature of the assets. I mean, it’s obviously focused on the regional jet. That’s where we see continued opportunity. With respect to leasing and what we see just maybe a little bit more color there. Mike is right, we had many of our aircraft on power by the hour, but we are actually seeing that now transition into I’ll call it more fulsome leases. And we are starting to see or get in some deposits for other reasons as activity picks up in kind of North American jurisdictions, all tied to quite frankly, vaccination rates where we are seeing a close tie there. And we are going to, in our view, continue to see that demand and it’s a matter of deploying the assets in the best use, although that’s a combination through sales, leasing, that’s why Regional One does as well as it does do, because of their ability to generate revenues in all different revenue streams, whether that is leasing or whether that’s parting out or whether that is selling aircraft and it’s that combination that’s made it very successful. So, when leasing is down, there tends to be other revenue streams that make up for it, but that’s what you’ll probably see on a go forward basis.
Cameron Doerksen: Okay, no, that’s very helpful. Just second question quickly, I am just wondering if you can update us on the expected decisions on the Curacao surveillance contract renewal and also the Malaysia contract. Just wonder if there is any update on when you expect to hear on those?
Carmele Peter: Sure. So Curacao, best and final offers are going in Q3, we would hope to hear by the end of the year, so Q4. Malaysia, we are – believe that we’ll have site visits from Malaysia later this year and hope to get final decision from them end of this year. It could slip into the beginning of 2022. COVID has obviously had an impact on the length of time that it’s taking to make some decisions but it’s general timeframe you can expect.
Cameron Doerksen: Excellent. No, that’s very helpful. Thanks very much.
Operator: Thank you. Next question will be from Kevin Chiang at CIBC. Please go ahead.
Mike Pyle: Good morning, Kevin.
Kevin Chiang: Good morning. Thanks for taking my question everybody. Maybe I could ask about how you look at, I guess deals moving forward. Obviously, I mean, it’s been a big part of your growth profile. But when I look at a company that Mike you mentioned, is on pace to run-rate $400 million of EBITDA, like how do I square that maybe with deal materiality like, for example, you closed Macfab $11 million deal price, maybe a couple of million of EBITDA, like it does seem like for a company of your size that maybe you would hunt for bigger fish, but maybe you could just help me understand the rationale over going some – after some of the smaller deals given the size of your company today?
Mike Pyle: That’s a good question, Kevin. I think that bifurcates the answer because there is two parts to it. One on the bigger deals, our lack of ability to travel during COVID essentially meant that we weren’t going to be prepared to write a $100 million check, where we didn’t get to go and spend a bunch of time with management and know them inside now. So, we pivoted internally largely talking with our subsidiaries and saying, what would make you better? And so we took advantage of this opportunity, where we know people a deal like Macfab, they are the best type of deals from an accretive nature point of view, because we have – they are smaller, you buy them at appropriate multiples. But more importantly, it’s going to make Ben Machine more profitable. We have seen Bens almost doubled in profitability audit. It continues to grow. We have capacity issues. And so by adding a company like Macfab, we diversify our product offerings and we have an instant additional capacity for our existing customers. And so, it’s not a case of one or the other. It’s both. We have added people to our acquisition department out of diversifying our team and we continue to add executives in that area. And as travels allowed back into the U.S. and is more easily done in Canada, you will see us attacking bigger deals as we have in the past, but if we got a smaller deal, we would never buy a Macfab as a standalone. It’s a great company in a strong management. But you are right it’s just too small for us. But when you combined it with Ben, it’s not much different than buying $10 million worth of new equipment they came with great management people. And so for us, it’s just a way to continue to grow those businesses. So, I haven’t given you a definitive answer other than to say we are going to do both. And we postponed the bigger transaction simply because we were – there was no efficient way for us to do them during the pandemic. As the pandemic wanes, I think you will see us examining bigger deals, almost look at the smaller acquisitions, almost like growth CapEx. We are trying to grow an existing business. So we are buying things that tuck into our existing stuff. Yes, you will see that as Quest normalizes, the power of our two installation companies, they have done so well during the pandemic. And as we continue to grow the order book there, you will see the power of the vertical integration play. Now, those were medium-sized deals, not the Macfab size deals, but also not huge. The combination of all those opportunities is when you got a 15% threshold, that’s a high bar and we need to look at all the ways we can get there, not focus on just one.
Kevin Chiang: No, that’s a great answer. And I appreciate the color there, Mike. Maybe again, just on this $400 million of run-rate EBITDA that you see when things start to normalize, if I look at the math, I guess there is a blip I take kind of your Q2 results annualize that maybe throwing some of the acquisitions or LOIs you have, I kind of get a ballpark of let’s say roughly $350 million of EBITDA at a high level. If I look at how much original one is still underperforming versus what you did in 2019 that seems to be the whole, is that effectively the missing piece here that really to kind of get that incremental $50 million, it just comes down to Regional One getting back to close to a $300 million revenue run-rate. And once you have visibility on that, you will have more confidence in providing a $400 million guide?
Mike Pyle: At the risk of getting dangerously close to providing you formal guidance, there is two to three ways we have come up with that number internally. Most of what we have done to be honest, is taking a look at 2019. And we know what we generated there $323 million, $325 million. And then we add on the things we know we have added since then the new contracts with which we didn’t have then this year’s acquisitions and a return to normal the other businesses and you get to that $400 million-ish range, a number of different ways. The risk in extrapolating our Q2 is that while it’s closer to normal, it’s not normal, yet, Perimeter is flying in this corner at about 50% capacity. When you add that other 50% in, it does good things to our margins. Now, the remainder of the government support disappears and all those things. So, there is ins and outs. But to me, the easiest way to come up with what you think the number is precisely is to start off that $325 million, adding the things we have told you about a little organic growth. And I think that $400 million number becomes pretty clear. Again, the challenge we have is it providing you what we think we are going to do in a normal environment. The challenge we have is when does normal start. Like if someone could count normal was starting on February 1, I could give you guidance. Now, we are just read is it to try and predict the pandemic because I have only been round 18 times so far on when it’s going to wane and what it’s going to do. So for us, we are hoping by November, we will see the impact of the fourth wave or a better prediction of air traffic in general, which is the biggest driver. Our manufacturing business is with the exception of the holes in Quest schedule, and some inefficiencies in our other business because of absenteeism. I have been pretty reliable through this whole thing. So, they are pretty easy to forecast, quite frankly. It’s more when did my airlines get back to 100% and when does my lease revenue, return to normal at Regional One. And I just don’t have enough general economic forecast ability to answer that yet. We are thinking in November, we will be able to give you that number.
Kevin Chiang: No, I appreciate the color and comments. I will leave it. I will get back in the queue. Thank you very much.
Operator: Thank you. Next question will be from [indiscernible] at RBC. Please go ahead.
Mike Pyle: Good morning.
Unidentified Analyst: Good morning. Hi, everyone. Thanks for taking my questions. So, my first question is on Quest. I was wondering if you can expand a bit on some of the new inquiries and interest you are getting, have any of these turned into bookings? And if they have, would we see this impact in 2022 backlog in revenues at this segment next year?
Mike Pyle: The answer is yes. We have booked new orders out of the sort of post-crisis level of the pandemic. We see – you see those at the end of ‘22 and into ‘23. Typically, if there is an average, it’s probably about 18 months is when you see booking to financial statements that could be as low as 12, or as much as 24. But the part that makes us feel confident is it’s not one market that’s recovering, it’s multiple markets. There was this whole concept that no one is going to live in the city after COVID. And it was the typical overreaction and extrapolation of a short-term event. Rental prices in Toronto as an example are rising again. The demand for units is going in. We are quite frankly, very confident in the medium-term at Quest. We are confident in the short-term. It’s just going to be bumpy, because there is no way for us to fill a hole in October as an example. There is no project we can get to plug in. Everything we do is a custom project. So, you can’t build and put it in inventory because you don’t know who is going to use it. So, we are going to struggle with that. We will get through it. But coming out the backside, one of the great – sometimes you are smart and sometimes you are lucky. I won’t say which one this one is, but it’s probably as much luck as is. Well, we have built that Dallas facility and diversified our production capability. And unless let us have different plants being affected in different ways at different times by the pandemic, which let us meet our customers’ requirements. But the other thing we have learned is how effective being able to build a plant from the ground up is. And as our leases expire, in our Toronto facility we will be reconfiguring that in a way, shape or form. So, to fit – to setup the next wave of growth, as things normalize that we make that plant more efficient. So, Quest has been a rapid growth business for us. And we really don’t view that has changed by the pandemic.
Carmele Peter: Yes. The other kind of positive indicator, which gives us kind of the optimism is that some of the projects that were hold are delayed are actually starting to come back now. That doesn’t mean they come back immediately, there is a ramp up period, and by the time we get to the part where we are doing windows that is still a 12 months-ish window, but also that’s a positive sign as well.
Unidentified Analyst: Okay, that’s really helpful color and definitely good to hear. Then just for my last question here, looking at your outlook comments, it looks like growth CapEx at Regional One is expected to remain relatively elevated to the back half of this year. I just wanted to unpack what’s driving this. Is it just being opportunistic on attractive opportunities in the market or in response to expectations [Technical Difficulty] demand or perhaps a combination of both, curious to get your thoughts there?
Mike Pyle: It’s, again, I will take the easy part of this. The Regional One is always an opportunistic kind of project. We look for opportunities, and it’s our ability to monetize things in multiple ways that lets us perhaps see opportunities when others don’t. But I am going to go one layer deeper into and to answer your question. And we see certain types of assets becoming already very much in demand. The movement of the CRJ-700 being reconfigured into a 50 seat kind of aircraft has permeated demand for those aircraft. The engines that run those are very similar to the engines that fly on the CRJ-900s as well. So, the engine demand for those is both quite high. So, you are not only going to see us investing in aircraft in the balance of the year, I think you will also see us divesting of certain assets, where there is opportunities to make a game where someone wants to make a permanent investment in an aircraft. So, I think you will see increased churn as well as investment. And so in a given period, that could be you sell more than you buy. You will buy more than yourself, depending on the timing. But over time, we can tend to continue investing in this business.
Carmele Peter: What I would also add is where we are seeing opportunities is, as airlines line up to go back into full operation has some rationalization that’s occurring, subsidies are now either dwindling or have completely stopped. And that is, as a result, causing some we will call opportunistic buy for us. They are not large fleets like they are not like the Lufthansa or CRJ-700s we bought like 14 of them. But they are here and there. And with a network that Regional One has enabled to seize on those. The other thing that you will probably see is do as well as invest in our own fleet. So, where I have mentioned that we see a demand for engines, we may very well spend some money overhaul engines, so that we expand or extend their green time. Therefore the life on the leasing side of what we do with those assets.
Unidentified Analyst: Got it. That makes a lot of sense. Congrats on a great quarter. I will pass the line. Thanks.
Operator: Thank you. Next question will be from Konark Gupta at Scotia Capital. Please go ahead.
Konark Gupta: Thanks and good morning everyone.
Mike Pyle: Good morning Konark.
Konark Gupta: Good morning Mike. Maybe I can, like get you to provide us actually some guidance here. No, I am just kidding. I am looking to understand. I am trying to understand the seasonality here this year. I am like I know we are kind of we had a good summer I guess and then maybe again the Delta variant and whatever. It’s coming back for today, but etcetera, well, do anticipate Mike, like with it all as you know contract wins and the recent acquisitions. Do we see a little bit more pronounced seasonality in the second half of this year was this typically you saw pre-COVID?
Mike Pyle: No, I don’t think so. What we have added is less seasonal business like the Carson as an example that in fact don’t have a precise seasonality. They do vary quarter-to-quarter based on outbreaks of diseases and things. But they are breaks that in the winter versus the summer, those kinds of things. So, I think you will see our results sort of tracks historical seasonality. I think the bigger effect will come from just how fast we can ramp. And that’s right talking about, we expect to be the kind of 2020 numbers. And that means we are going to make a lot more money in the business because the back half of last year, if you look back had significant amounts of government support, which will have waned away this year, may not be zero, but it will be close to that and replaced with traditional EBITDA. And we will grow through that to the point where if the fourth wave visit pronounced, you may see us meet 2019 or who knows. But that’s, I would look at the seasonality of this where Q3 is always seasonally the best quarter. Q2 and Q4 approximate a running average and Q1 is always the worst. So, one thing that will be different in the back half of this year is just maintenance CapEx. Normally, we front end load that into the first quarter where we are slower. With the pandemic, we didn’t do that this year. And so as we ramp up our operations, you will see the maintenance CapEx move directly with the revenue. We have deferred things like not done them when they were due. But they haven’t kept doing the same way because we haven’t flown as many hours. So, as the hours go up, we will be overhauling engines. We will overhauling landing gear. It won’t exceed historical norms. But as we reach normal, maintenance CapEx will also reach normal. And if you want to have quotation marks around normal, I am using 2019 as normal.
Konark Gupta: That’s good color Mike. Thank you. And maybe for Darryl, there was a $3 million, I think $3.1 million gain on disposal of capital asset and the cash flow statement, just wondering if that relates to any significant asset on the aviation side or is it manufacturing?
Darryl Bergman: It’s aviation, I mean, this is the thing that frustrates me in our financial statements. We buy and sell planes all the time. And so the gain on which asset whatever is material that’s a normal part of our business. We will have gains and losses when we move a plane in and out of operations part of what we do.
Konark Gupta: Okay. Thanks. And then just like high level kind of part here, the major airlines in Canada are kind of – in domestic Canada they are adding capacity quite significantly, like Air Canada WestJet order [indiscernible] etcetera. How – like you have recently expanded some capacity into the Maritimes, how do you see that as maybe impacting your legacy airlines into the Maritimes especially?
Mike Pyle: Yes. Apples-and-apples, part of the reason the other carriers were adding capacity is because they took it out and permanently retired things during COVID. We didn’t retire anything. And so as that’s going, we have added capacity in the Maritimes. We will add more capacity there. Particularly up-gauging some of our fleet from Dash -8 300s to 400s. We are going to add more Dash-8 300 capacity in Central Canada to look after binding opportunities and freight opportunities. And we will be adding some ATR 72 capacity to look after again freight and mining contracts in the far North. So, we have – I think I mentioned, we have got about a net improve – increase in big aircraft of an additional four through the balance of the year. And that’s driven entirely by essentially contractual demand.
Carmele Peter: And specifically with respect to the Maritimes and related to your question, I do as the most part complimentary. Our PAL Airlines in America did good job, filling the need that exists to move customers to larger centers for the majors, which is, for instance, why we have now interline agreements with both WestJet and Air Canada. So, it looks at us more as kind of a solutions provider, rather than just being competitive. [Technical Difficulty]
Mike Pyle: Hello. We can’t hear anyone right now. I am not sure if you can hear us operator.
Operator: Yes, sir. We can hear you.
Mike Pyle: Okay. Maybe ask someone else for a question.
Konark Gupta: Sorry. I am still – so I can’t hear, actually.
Mike Pyle: We were about to send medical assistant, Konark.
Konark Gupta: No, I was still on the line. I thought Carmele dropped. Anyways, that’s okay. Maybe the last one before I turn it. We are actually on the lease rates and Regional One. So, one of the traditional regional aircraft leasing companies in Canada, they recently announced that, they have renegotiated leasing contracts with some of their customers. And the lease rates have kind of come down quite significantly. Just wanting like your business that Regional One is a little bit different. But do you also see any pressure on lease rates at this time, or because it’s been powered by the hour, it’s not really material for you?
Mike Pyle: Yes, I understand the comparison, you are making Konark. And that truly is apples-and-watermelons. The – in our world, the world, much shorter term leases, and they are not finance leases. And so it’s a very different marketplace. Quite frankly, we may expect the opposite of that to be true as particularly as it relates to engines. There as ramp up is going, there is now a gain or shortage of MRO space to get overhauls done. And access to engines on a timely basis, may well yield to an increase in pricing in the short-term rental and leasing market. I am not at the stage where I would like to predict that yet. I would say that we view the leasing prices at what we are doing is relatively stable as the market normalizes over the next two quarters or three quarters.
Konark Gupta: Great. Thanks again for the questions and quarter. Thanks.
Mike Pyle: Thanks.
Operator: Thank you. Next question will be from Matthew Weekes at iA Capital. Please go ahead.
Mike Pyle: Good morning.
Matthew Weekes: Good morning. Thanks for taking my questions. I was just going to ask if you could maybe just provide a little bit more color on inflation in terms of sort of where you are seeing, the most impact in the business right now. I know there was some commentary that is occurring in several places across the business. And maybe how you are managing that impact so far, whether it’s through cost pass-throughs, or forward purchasing or things like that. And maybe where you are not able to kind of pass-through the impact as much?
Mike Pyle: I would suggest you that we see it in the numbers. The two main ones where we are seeing material price changes is, first of all, fuel in the aircraft business. I am not sure, I would call it inflation, though, it’s kind of more returning to normal. We have seen oil prices return to the high-60s and low-70s, which is kind of where they were before we started this. We seem to bounce back. Most of our contracts include direct fuel pricing. So, we are able to track to the changed pricing where appropriate. And we have a dominant market position in most of the areas where we operate. So, to the extent we need to flow those through, we are able to do it. It sometimes takes us a while because of our position, we make sure we talk to our clients and explain to them what’s coming and why it’s coming. And so that may delay us putting it through for weeks or months. But it doesn’t create much of issue as it is very short-term turbulence. And we are in a good shape there. The other place where we see it is in some of the big commodities in our manufacturing, so steel prices and aluminum. On the steel side, it tends to be included in contracts where we have more room to move, contract moves automatically. The aluminum prices are a little bit more of a problem because our window projects tend to be fixed price. And so we are eating some of those increases in certain places. We are big careful of how we did the future projects in light of those changes. So, the financial statement impact is really limited to the commodity side and focused on in the aluminum area. The steel stuff we are able to deal with. The jet fuel stuff, we are able to deal with.
Matthew Weekes: Okay, thank you. That’s helpful. That’s it for me. I will turn the call back.
Mike Pyle: Thank you.
Operator: Thank you. Next question will be from Nauman Satti at Laurentian Bank. Please go ahead.
Mike Pyle: Good morning Nauman.
Nauman Satti: Good morning, Mike. So, my first question is it’s more – so, this was really a really tough year, I think once in a generation event that happened. But you guys had just did pretty well. I am just wondering if there were some lessons learned during this entire process and how some of the things you would do differently going forward within your business?
Mike Pyle: To be honest with you, what the single biggest takeaway for us, actually, there is two of them, that come out of the pandemic, we have dealt with. One is, we have always believed it would be well capitalized and capitalized in advance of opportunities. So, when things shutdown really hard in March of last year and other people in our industry or related industries were cutting dividends, we had the room in liquidity to be able to manage our way through it. And our shareholders rely on our dividend. And so our balance sheet needs to match that commitment. And so you have seen our actions in the last quarter, where we raised equity, because we knew was busy on the acquisition front and our subsidiaries. We are on covering accretive opportunities to grow. So, we have invested money there. We will continue to do that. We are going to make sure we always have the balance sheet to pay for tomorrow’s project today. And then the other thing and this made be somewhat counterintuitive. But the diversity of our management has been an absolute godsend as we have gone through this. There, we have strong teams in each of our companies. They tend to be managed as separate silos. But as we went through the pandemic, the ability to put those leaders together, and share best practices and help each other out. Particularly, if we look at supply chain as an example, we have had times where we can’t get a certain type of steel in a certain market, but our company in the other markets can access it through their supplier. So, we are shipping steel around to meet customer demand. We are sharing aircraft assets, to make sure we can deal with challenges. A great example of that is the indigenous services Canada contract. So for me, if I were to talk about two things we have taken out of it is I am more committed than ever to our balance sheet strategy. And I am very proud of the fact that we have diverse management team that we can weave together when we need to, to create corporate decisions. The stuff we have accomplished through this hasn’t been corporate. It’s been driven by the CEOs and their people in the field, that have been able to bring us the opportunities and bring us the solutions. We have just made sure we got the money to pay for it.
Carmele Peter: And we had that confidence in our people when we entered the pandemic, which is why we kept our dividend and our people showed that it was a right decision.
Nauman Satti: Okay. No, thank you. That’s very helpful color there. Appreciate it. And just maybe a last one, talking about – you spoke about your balance sheet as well. You had recently done almost four new acquisitions with do letter of intentions. I am just wondering, are you still actively looking at new files as well or is that a time where you sort of absorbed these new acquisitions? And then wait a bit and then get into the M&A landscape again or are you still active on that front?
Mike Pyle: Well, I will see if you can get out to give me an answer on that. We are actively looking. We are acquiring [indiscernible] we are still actively looking. The beauty of the stuff we have done recently is that it’s mostly tuck-ins, where it’s becoming part of an operation. So, that we are going to be working with our people and it really doesn’t add any workload does in head office. We added WIS, it worked as part of Quest. And the management team of Quest works with the management folks at WIS to get on that business. So, we have capacity to be able to continue transactions. Dave White and his team are in aviation, have their new reporting company in Carson. But that’s really the only “new subsidiary” that’s being managed directly by my head office team. So, we have capacity and it’s a matter of finding things that we love that we could buy at a price that we are prepared to pay.
Nauman Satti: Okay, that’s fair. That’s it from me. Thank you and congrats on the quarter.
Mike Pyle: Thank you very much.
Operator: Thank you. Next question will be from Tim James at TD Securities. Please go ahead.
Mike Pyle: Good morning Tim.
Tim James: Good morning, Mike. Thanks very much for the time. I had some quick questions. Well, actually one is probably quick, one may not be. I am sure if you can remind us of the assets involved in the potential Malaysian contract?
Mike Pyle: I will let Carmele handle that one.
Carmele Peter: Sure. So, we did it with two 400s. So the Dash-8 400 models are – they are new aircraft. We are partnered with De Havilland exclusively on that bid. So, there is 4Q aircraft is what the current program is for – potentially with more – many years down the road.
Tim James: Okay, great. Thank you. And then I just want to return to question in glutted a little bit differently. If I think about the revenue coming out of Quest, Toronto, before the Dallas expansion was contemplated and then I added the Dallas and the capacity, which was significantly greater than Toronto, the capacity or the revenue potential from that facility. And I am putting aside the additional sort of incremental acquisitions you made since then. When can we think about that, full revenue potential hitting its stride, let’s assume for a minute, in terms of the pandemic, the world kind of goes back to pretty much normal and starting in 2022? Is your backlog and your kind of line of sight and the way those facilities are operating now? I mean, do you think you kind of hit that return to Toronto to sort of pre-pandemic levels and get Dallas more or less up to its capacity by 2023, or is it potentially take more time than that?
Mike Pyle: I think in 2023, you will see growth. I am not sure that you will see Dallas in capacity. That has the ability to be more than double the size of Toronto by itself. So, building that level of work, which will take time, go back to that is the pandemic reduced the number of people that we have got in the Toronto facility. So, we have effectively tapped the Toronto facility at a lower number for the time being to make it a safe workplace. And until the governments get a better handle on the pandemic, I don’t see that changing. One of the other things with Toronto as well, that I mentioned is, in the medium-term, we have got two leases that come up there and highly likely we will recombine that into a single geographic space, and improve the efficiency of that. So, we haven’t made those decisions yet. But the – my point being that we have got tons of capacity to deploy. There will be a return to growth for sure in the back half, next year through 2023. But we could effectively do triple the business that we did out in the Toronto plant by adding the Dallas plant to it because it will effect more than double the capability in terms of size of Toronto. So, in terms of running into a ceiling, we have got ways to go on that in terms of seeing the growth in our financial statements, second half of next year, and then really evidence in 2023.
Tim James: Okay, that’s great. Thanks very much.
Operator: Thank you. And at this time, I would like to turn the call back over to Mr. Pyle.
Mike Pyle: Well, it was a warm call. But there is lot to talk about. I want to thank you all for joining us today. We are really excited about where we are and what we have accomplished. And I look forward to speaking to you again in November when hopefully we will be able to provide you some concrete guidance for 2022 and a return to normal. Thanks and have a great day. Stay safe people.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.